Operator: Greetings, and welcome to the AMC Entertainment Holdings Incorporated First Quarter 2025 Earnings Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce John Merriwether. Thank you, John. You may begin.
John Merriwether: Thank you, Julian. Good afternoon, everyone. I'd like to welcome you to AMC's first quarter 2025 earnings webcast. With me this afternoon is Adam Aron, our Chairman and CEO; and Sean Goodman, our Chief Financial Officer. Before I turn the call -- the webcast over to Adam, I'd like to remind everyone that some of the comments made by management during this webcast may contain forward-looking statements that are based on management's current expectations. Numerous risks and uncertainties and other factors may cause actual results to differ materially from those that might be expressed today. Many of these risks and uncertainties are discussed in our most recent public filings, including our most recently filed 10-K and 10-Q. Several of the factors that will determine the company's future results are beyond the ability of the company to control or predict. In light of the uncertainties inherent in any forward-looking statement, listeners are cautioned against relying on these statements. The company undertakes no obligation to revise or update any forward-looking statements, whether as a result of new information or future events. On this webcast, we may reference non-GAAP financial measures such as adjusted EBITDA and constant currency, among others. For a full reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the Investor Relations section of our website earlier this afternoon. After our prepared remarks, there will be a question-and-answer session. This afternoon's webcast is being recorded and a replay will be available in the Investor Relations section of our website at amctheatres.com later today. With that, I'll turn the call over to Adam.
Adam Aron: Thank you, John. Good afternoon, everybody, and thank you for joining us today. Anyone who has ever driven a car knows that you spend far more time looking out the front windshield than you do looking at the rear view mirror. That metaphor of it being more important to looking ahead, not looking backwards, is particularly appropriate for the movie theater industry at this particular moment in time, because the first quarter of 2025 was not at all indicative of the current strength and what we expect will be the coming strength of the movie theater business. Simply put, we believe that a dramatic reawakening of the industry-wide domestic box office has begun. Right now, movie theaters are literally booming, and we believe that this great news about a robust box office will continue for the foreseeable future. Clearly, though, that was not the case in the first quarter of 2025, which was entirely consistent with our earlier pronouncements that calendar year 2025 would start out slowly. How slow was it? Really slow. Setting aside those first quarters directly impacted by COVID and its aftermath, the 2025 January to March industry-wide domestic box office was the lowest it has been since 1996. But fortunately for us, in brilliant contrast to Q1 of 2025, we continue to believe that moviegoing demand for the balance of 2025 and all of 2026 will show great strength. So much so, in fact, that we now believe that the full year 2025 industry-wide domestic box office will come in at the high end of our previously forecasted range of it being $500 million to $1 billion ahead of the industry-wide domestic 2024 box office. Even more compelling, we also believe that the 2026 box office will wind up being considerably larger than that of 2025. After all, the April 2025 industry wide domestic box office, April being the first month of Q2, was double the box office of April 2024. And so far in May, the box office again has been running at double the rate of a year ago. And the movies that will be released through the end of 2025 are barn burners one after another. As examples, just look at the dozen hit movie titles being released over the next 11 weekends, including among others, Disney's Lilo & Stitch as well as Elio. Tom Cruise's Mission Impossible, The Final Reckoning. Sony's Karate Kid and 28 Years Later. Lionsgate's John Wick movie. Universal's How to Train Your Dragon and M3GAN 2.0 along with Jurassic World, Rebirth. Apple's F1. Warner's, DC Studios, Superman and Paramount's Smurfs. All the way through year end we will be seeing a potpourri of movie riches gracing the silver screens of AMC theaters and ODEON Cinemas. It's going to be one potentially huge movie after another, after another, after another all the way through the year end opening of Avatar: Fire and Ash in mid-December. Moving from the industry to AMC, we can take great comfort in AMC's resilience being on full display in the first quarter of 2025. AMC surpassed Wall Street expectations yet another quarter that that's been the case, and our ability to continue growing per patron operating metrics, including achieving an all-time first quarter record for US Admissions revenue per patron despite the challenging box office backdrop, speaks volumes about the enduring power of the AMC brand. The exceptional appeal of both our AMC stubs, loyalty, and A-list subscription programs, and our market-leading premium format offerings. Given a box office for the rest of 2025 that is expected to be soaring above that of a lacklustre Q1. We also expect AMC's coming financial results to show market growth over our 2004 results. Looking ahead, the release calendar is stacked with action driven blockbusters, precisely the kind of high intensity, visually spectacular content that plays best on the big screen, of which AMC has more big screens than anyone else. With our industry leading PLF footprint of IMAX, Dolby Cinema, Prime at AMC and iSense PLF screens in Europe, together with our expanding portfolio of XL at AMC Auditoriums, AMC Theaters and Odeon Cinemas are perfectly positioned to lean into this action heavy slate and reports significantly improving financial results in the balance of 2025. My overarching comment about Q1 2025 is this. Anyone trying to draw any negative conclusions about the appeal of movie theaters from the results of the first quarter of 2025 is highly likely to be mistaken, because the industry-wide domestic box office in Q1 was, in our view, a distorting outlier, an anomaly that has already corrected itself. We continue to believe that moviegoing demand in theaters for the balance of 2025 and again in all of 2026 will show enormous strength. That is spectacular news for AMC Entertainment. I'll now pass the webcast over to Sean, our CFO, to provide more detail, after which I'll return to provide an update on AMC's Go plan. Sean?
Sean Goodman: Thanks, Adam, and thanks to everyone for joining us this afternoon. As Adam noted, the first quarter box office was indeed challenging. Nonetheless, while the North American box Office was down 12.4% compared to last year, AMC in fact outperformed by around 150 basis points, recording a domestic admissions revenue decline of 10.9%. Despite the relatively modest box office in the first quarter, AMC's business fundamentals were robust, as evidenced by the sustained strength of our underlying performance metrics, which, coupled with the operating leverage that is inherent in our business model, mean that we are exceptionally well positioned to capitalize on the industry recovery that is expected in the remainder of 2025 and beyond. This afternoon, I'll focus my comments on some of the key indicators of the health of our business. In Q1, our consolidated revenue per patron on a constant currency basis was up 1.6% year-over-year, and notably up a very substantial 40% compared to pre-pandemic 2019. This was fueled by a 49% increase in food and beverage revenue per patron, along with a 26% increase in admissions revenue per patron. Even more compelling, we grew our consolidated contribution margin per patron on a constant currency basis by 3.7% compared to last year, and this is approximately 51% higher than pre-pandemic 2019. Note that contribution margin per patron is calculated as total revenue minus film, exhibition, and food and beverage costs. This divided by the total attendance. This measure is intended to provide an indication of the incremental profit that we generate with each additional moviegoer, and this incremental profit per moviegoer is around 51% higher than it was in pre-pandemic 2019. From a segment perspective, our US operations delivered resilient results with admissions revenue per patron achieving an all-time Q1 record of $12.31. This despite a notable lack of PLF friendly titles during the quarter. Compared to pre-pandemic 2019, domestic revenue per patron is now up more than 45%, and domestic contribution margin per patron is now up by a remarkable 59% compared to pre-pandemic 2019. Our international markets delivered similarly strong and sustained growth, with total revenue per patron up 32% and contribution margin per patron up approximately 39% on a constant currency basis when compared to pre-pandemic 2019. In summary, while the year-over-year revenue growth and key performance metrics might appear to be somewhat modest, the sustained gains of a pre-pandemic 2019 are significant and they illustrate the resilience of the business and successful execution of our strategic growth initiatives focused on enhancing the guest experience and optimizing our profitability. Over the last five years, we have also been strategically managing our theatre portfolio. We've been renegotiating leases, closing underperforming locations, and investing in new high performing theaters. In total, since the beginning of January 2020, we've closed 200 and we've opened 62 locations for a net reduction of 138 theatres or nearly 14%. In the last 15 months alone, we've closed 38 theaters and opened just three. And as previously noted, the 62 new locations opened since 2020 very significantly outperform the 200 closed locations. And going forward, we'll continue to actively manage the theater portfolio to manage our lease costs, optimize our footprint and enhance overall quality and earnings from our circuit. The sustained growth in our per patron matrix, the ongoing optimization of our theatre footprint, and the inherent operating leverage in our business allow us to reinforce an important point. We do not require a full return to the 2019 box office levels in order to achieve pre-pandemic levels of adjusted EBITDA. Let's move over to the balance sheet. We ended the quarter with cash and cash equivalents of $378.7 million, excluding restricted cash of $49 million. As we previously discussed, AMC typically experiences a seasonal working capital shift from positive in Q4 when box office receipts are strong, to negative in Q1, when firm rental payments become due. This swing is amplified when the Q1 box office is especially soft, as it was this year. But looking ahead to the remainder of the year, provided that the box office performs in line with our expectations, we anticipate being free cash flow positive for the nine months ending December 31st, 2025, and we continue to take actions to strengthen our balance sheet. At the beginning of this year, we raised approximately $170 million of incremental equity capital, and since the beginning of 2022, we've lowered the principal value of our debt and finance leases by approximately $1.1 billion, and we've repaid approximately $281 million of deferred leases. All of this for a total debt and deferred rent reduction of $1.34 billion in a little over three years. Now, a few quick data points. CapEx net of landlord contributions was $42.8 million in the first quarter and we continue to expect net CapEx in 2025 to be in the range of $175 million to $225 million and the deferred rent balance at the end of Q1 was approximately $34.3 million and we plan to reduce this balance by around $4.7 million during the remainder of the year. Our capital allocation priorities remain, one, ensuring sufficient liquidity; two, reducing financial leverage; three, investing in our existing business; and four, investing in attractive high-return growth initiatives. With an exceptionally strong start to Q2, this is already nicely in the books and an impressive lineup of films ahead, 2025 is on pace to deliver the strongest box office since 2019, and the team at AMC is ready to seize the opportunity and unlock meaningful value for our stakeholders. With that, I'll pass the call over to Adam.
Adam Aron: Thank you, Sean. Today, I'd like to take you a little bit deeper into how we're proactively positioning AMC to capitalize on what we firmly believe will be a resurgent box office for the balance of 2025 and full year 2026 and beyond. It starts with our strategic playbook, the AMC Go Plan, a forward-leaning, intensely designed blueprint to elevate the guest experience at AMC theaters and ODEON Cinemas. It was named the Go Plan, GO because we're going on the offensive. Frankly, we got tired of being on our heels defensively for the past five years, and it's time to move forward with big ideas. The Go Plan is built around AMC's most compelling competitive strengths, our unmatched customer loyalty programs, our sophisticated marketing engine, our innovative food and beverage offerings, and our global leadership in immersive premium large format experiences. AMC is already the global leader in Premium Large format and Extra Large format screens, with more than 600 such screens in total. That's more premium experiences than that offered by any other movie theater operator in the world. But under the AMC Go Plan, starting this year in 2025 and continuing in the years ahead, we are going to further that lead, and we'll do so in a big way. We expect to grow our Premium Large format and Extra Large format screens from more than 600 now to more than 1,000 in the months and years ahead. To do so, we'll be doubling our footprint of upgraded IMAXs with laser screens by converting some of our older IMAX auditoriums into state-of-the-art IMAX with laser systems. We're also growing our count of Dolby Cinema screens by almost 25%, adding about 40% more. Both of these growth initiatives are structured so as to require minimum upfront capital expenditures from AMC. We expect to more than triple our number of Prime at AMC screens in the United States, growing the number of theaters with Prime to 100. And something I'm particularly excited about, we've also just opened our very first XLF or Extra Large Format auditoriums in the United States. This initiative is a smart, capital efficient way to spotlight the largest non-PLF auditoriums in our circuit, all of which will feature massive at least 40 foot screens or larger and all with crisp 4K laser projection. With clear XL branding, both inside the theater and across our app and website, guests can easily identify and choose this enhanced format. We expect to roll out as many as 50 or more XL at AMC locations by the end of 2025 and by the end of 2026 we should have around 250 XL at AMC screens in place in the United states, joining the 65 XL screens that we piloted last year in Europe to great success. Innovation is in our DNA at AMC and we're turning up the volume on that innovation with a dynamic new partnership with CJ 4DPLEX. Over the next 30 months, including some this year being installed, we will bring 40, 40X and 25 ScreenX auditoriums to audiences across the United States and Europe. In Europe we've already opened ScreenX auditoriums in six ODEON Cinema locations where guest feedback has been quite positive. We're eager to scale this next level experience to even more moviegoers worldwide. Additionally, our laser and AMC initiative in partnership with Barco delivers a brighter, sharper, more energy efficient projection experience that happens to be quite ecofriendly. It isn't just for XL at AMC auditoriums that we have laser projection. In fact, we already have deployed Laser at AMC projection across nearly 40% of our US circuit and we will take laser projection the entire domestic fleet of our theaters on a multi-year rollout. Another initiative under the AMC Go Plan is the transformation of select high traffic theaters with premium seating upgrades. Not necessarily recliner seats because the theaters could not afford the seat loss of putting in recliners, but much improved wider, more comfortable padding rocking seats. They've been deployed already in flagship locations like AMC Lincoln Square 15 in Manhattan, AMC Empire 25 in Manhattan, and AMC Burbank 16 in Greater Los Angeles. This new luxury seating is being marketed as AMC Club Rockers, and it has significantly lifted guest satisfaction scores and overall theater performance. Indeed, in recent weeks, we repeatedly have seen nights when out of the 550 or so theaters that we have in the United States, our three highest-grossing theaters in the entire country were Lincoln Square, Empire, and Burbank, all of which feature the new Club Rocker seat. It's a proven model, and it's no wonder that we are looking to expand to more of our theaters these Club Rocker seats as the growth capital becomes available to us. Elevating the guest experience isn't limited to sight, sounds, and seats, but it also extends to delivering ease of access and developing customer loyalty. That's exactly what our loyalty and subscription platforms are engineered to do and no one does it better than AMC. In January of this year, for example, we launched AMC Stubs Premiere GO, a new tier within our AMC Stubs loyalty program that increases the rewards received by guests who see at least eight movies per year or who earn 5,000 Stubs points annually. Impressively, we already have more than 300,000 Premier GO members. And just this morning, we launched enhancements to our flagship subscription service, AMC's Stubs A-List. With increased benefits designed to ease the pain of a healthy price increase, the A-List weekly movie access has been expanded from three titles a week to four, and we've lowered the age eligibility from 16 to 13 to encourage teen and family moviegoing. We've also simplified how A-listers can check in at our theaters with a new in-app photo ID system, eliminating the need to produce a physical identification card. And we've introduced a new A List Classic tier, a streamlined, lower price plan for guests who prefer to watch a maximum of one movie per week only at our AMC Classic locations. This new offering broadens our reach and makes subscription moviegoing accessible to even more consumers. As we close today's formal remarks, we do so with genuine momentum. April delivered a powerful rebound at the box office and set the tone for what we believe will be a breakout second quarter for AMC and a post-pandemic record-setting 2025 for AMC as well. The road ahead is packed with blockbuster titles, and with the successful execution of our AMC Go Plan, we are enhancing every aspect of the moviegoing experience at AMC and Odeon, from immersive premium large format and extra-large format auditoriums to upgraded seating, from innovative loyalty to innovative subscription programs. All designed to increase attendance, to deepen guest engagement, to increase guest satisfaction, and to grow both AMC's revenue and our EBITDA. After five challenging years, we believe the tide finally has turned and that the future looks encouraging, not just for a quarter or two, but for an extended multi-year period of sustained growth and increased shareholder value. Having said that, there are still other important achievements needed for full recovery, but we are optimistic that we'll get done what needs to get done and that AMC is poised to capture the momentum arising from a strength in 2025 and 2026 and what we believe will be an even brighter future ahead. With that, Sean, let's turn to questions from equity analysts and from our retail shareholders.
Operator: All right, thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Okay. Well, I would like to turn the floor back to management for further questions.
Sean Goodman: Thank you. So, Adam, the first question from our shareholders is related to the tariffs. What are your thoughts about the current discussions around tariffs in Hollywood?
Adam Aron: Well, obviously this is a-- this is a new topic. It is our understanding that there are no final specific plans as to what may transpire and that there's going to be ample opportunity for discussion between the government and industry on this topic. It goes without saying that we'll be paying very close attention to developments in this area.
Sean Goodman: A lot of questions about the Go plan. Some of them are as follows. What proportion of AMC locations do you think ultimately could include a premium format auditorium? Likewise, recliner seating. What percentage of our auditoriums could have recliner seating? And then questions about other innovations that we might be looking at for our auditorium, such as somebody suggesting semi-private viewing booths, for example.
Adam Aron: So there's a lot in there. As I said in my prepared remarks, we have more than 600 PLF and XLF screens. That number should grow to around something over 1000. In what percentage of our theaters will we find that? In the plans we have now probably we will hit three quarters of our theaters worldwide. But that's just the plans we have now. We've only announced 250 XL auditoriums in the United States. That's based on our current plan. But you could easily see the XL auditorium if it's successful, if it resonates with consumers, you can easily see that number shooting up from 250 XL auditoriums to maybe 500 XL auditoriums, in which case we could find ourselves with a PLF or an XLF in just about every theater in our circuit. Depends what the guest response is. In terms of recliners, more than half of our circuit is reclined at the moment. That number could grow. We will need growth capital available to us to do so because those theater renovations are not cheap. But interestingly, we have a significant number of theaters, I'd say 50. Where to put in recliner seats would be uneconomic to do so because the theaters have such high volumes that we can't afford the seat loss that comes with putting in recliner seats. And for that reason, we just came up with this Club Rocker seat, the AMC Club Rocker that we put into AMC Burbank. We put in Lincoln Square, we put in Empire, and we have more than 500 theaters in the United States. We look at these attendance reports on a daily basis, and it's just so stunning to see over and over again that the three highest-grossing theaters we have in the entire United States out of almost 550 theaters are Lincoln Square, Empire, and Burbank. What do they have in common? They have the new AMC Club Rocker seat. Now, it will also cost some money to put in the Club Rocker. So again, we need more investment capital available to us before we can deploy them in more places. But there are a significant number of theaters. A dozen, 15, maybe 20 theaters where we could put in those AMC Club Rockers seats. And we think we would see a fairly dramatic upturn in the bottom line results of the theaters where they're installed. So those are examples. We're excited about our new partnership with CJ to put in 4DX and ScreenX auditoriums. We have six of them open at the moment. That number is going to grow to 71. That's a big increase, and I think embedded in your question was something about a special -- a different kind of seat. We have a theater in the UK in the city of Norwich that just opened in the last six months. And in one of the auditoriums there we experimented with a two-person pod seat with a privacy shell around it. And it's really been very successful with consumers. So that's another thing we might choose to roll out. Of course, again, that's going to require some -- having investment capital to deploy. And I have to emphasize here on the Go Plan, we are very disciplined about our CapEx spending. We're down to somewhere between $175 million and $225 million a year. That's significantly lower than it was in previous years. I could easily see us increasing our CapEx spend in the course of a year, maybe by $50 million to $100 million a year more than what we're spending now, but only if our EBITDA dramatically increases so that we're in a position where with the discipline we're showing on capital spending, we can afford to invest in these growth projects. And these growth projects are -- have quite attractive returns, very high ROIs, very fast paybacks. Nothing would make me more excited than to see our EBITDA double both for what that does for free cash flow generation and what that does for increasing cash reserves, increasing shareholder value, but also enabling us to take some of the increased EBITDA that is what will be versus what was say last year and to redeploy that back into the fleet to invest in the growth initiatives so that it's a self-fulfilling prophecy that if we invest in growth initiatives, we can drive even more profitability and even higher guest -- levels of guest satisfaction for the AMC and ODEON circuits.
Sean Goodman: Kind of a related question here from one of our shareholders. At what point do you expect the business to be in a position to generate positive free cash flow?
Adam Aron: That's a nice question to get because the answer is right now, the first quarter, so bleak and yet was anyone drawing any kind of negative conclusions from the first quarter? It's just going to be wrong because the second quarter, third quarter, fourth quarter 2025 are going to perform so radically different than did the first quarter of 2025. It wasn't wholly unexpected. We predicted last year that the industry would start very slowly in Q1 because we knew what titles were coming out. But we also know what titles are coming out for the balance of the year. And if we hit our internal forecasts of what's going to happen for the balance of 2025, then this company will be free cash flow positive for the nine month period, April to December 2025. And what a stark change that is compared to where we've been since the pandemic hit in 2020.
Sean Goodman: Let's talk a little bit about food and beverage. We're doing very well on food and beverage growth. Are there plans to enhance and expand the food and beverage offerings to our guests?
Adam Aron: Sure there are. This better than anybody, Sean. We're so proud of what we've done to drive the revenues of this company and cut the cost of this company such that our contribution per patron is up more than 50% above where it was pre-pandemic levels. It came with a lot of hard work and we've had a lot of cooperation from a lot of sectors to pull this off. Our landlords cooperated. Not only did we close unprofitable theaters, but we were able to reduce rents on a lot of our theaters, which improved their profitability, which allowed them to stay open. One of the other areas where we've had a lot of cooperation is from our guests because they're buying more stuff at the concession stand than they've ever done in AMC's 105 year history. And we are the industry leader in terms of food and beverage spending per patron amongst the mass operators. I'm not trying to compare AMC against small boutique dining chains, but when you look at AMC against other mass operators, we have the highest food and beverage spend. We do that because we pay a lot of attention. We achieve that. We pay a lot of attention to innovation in the food and beverage area. And just as examples, we put -- I think when I got here, we only had like 100 bars at our theater. We now have 350 MacGuffins Bars in the United States. We're also serving liquor across Europe. Movie-themed drinks is just a huge hit. And I'd say twice a month we have movie titles that are big enough where we're creating special movies, multiple movie-themed drinks, and they sell very well. Then there's like, obscure stuff. So in the first quarter, we just completed the rollout across the whole domestic fleet of Dippin' Dots, something that we started last year in 2024. Believe it or not, by introducing Dippin' Dots, we have doubled the ice cream sales at AMC theaters. Good for us, good for our guests. Right now, we have a very interesting pilot that's going to start this summer at five of our Southern California theaters. We're going to install new equipment that from where -- it's hard to describe exactly. But in an automated way, this new equipment will perfectly make craft drinks, will perfectly formulate cocktails and mocktails. We've experimented with it here in our corporate office outside of working hours, of course, and it's really impressive how exacting recipes can be followed with minimal labor activation. If that test is successful, I think we'll be rolling this new drink equipment out broadly across our system. And there's more. We just -- we -- when we launched home delivery, we went with Uber Eats. We were able to add DoorDash to home delivery at the very end of 2024. I think we'll do $5 million of profit on home delivery in 2025. Something that didn't exist a couple of years ago. And speaking of something that didn't exist a couple of years ago, my goodness, what's going on with merchandise sales in our theaters? Three years ago, our merchandise sales were precisely zero. And I anticipate that our merchandise sales for calendar year 2025 will come in around $75 million across the US and Europe with maybe half of that dropping to the EBITDA line. Such good news for us. So we've been an innovator in F&B, we're going to stay an innovator in F&B. There are lots of good things coming.
Sean Goodman: Well, talking about that and the profitability per patron that has been, as you say, so much higher than pre-pandemic levels, there is a question about how sustainable is that? Because as the box office recovers, is there going to be pressure on that profitability per patron metrics?
Adam Aron: Well, it depends if you want to think logically or get the data. Logic says if we add a ton of attendance, which we expect to add in the remainder of 2025 and 2026, then it might be hard to continue to drive these massive improvements in contribution per patron that we've enjoyed over the last couple of years and it's up over 50 compared to pre-pandemic levels. And yet April was a month where we had a massive surge in attendance. And as opposed to that massive surge in attendance eroding these key performance metrics and causing some of the revenue per patron to fall and the incremental contribution per patron to fall, it's been the exact opposite. In April, our revenue per patron and our contribution per patron increased even on stronger attendance. So I think that there's good news in all this, that we've managed the business with a lot of innovation and a lot of effort to drive revenues and to drive profit, and it looks like it's going to continue.
Sean Goodman: That's all the questions that we have at this time.
Adam Aron: Well, good. Thank you everybody for joining us today. The first quarter of 2025, while it beat analysts' expectations, was nothing to write home about. But what you're going to see out of AMC and out of the movie theater industry generally across the remainder of 2025 will be something to write home about. If we hit our forecasts, we are going to do very well and show a dramatic improvement over where we were only a year ago. Thank you for joining us one and all.
Operator: [Technical Difficulty] You may disconnect your lines at this time.